Operator: Greetings. Welcome to Cushman & Wakefield's First Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to introduce Mr. Len Texter, Head of Investor Relations and Global Controller for Cushman & Wakefield. Mr. Texter, you may begin the conference.
Len Texter: Thank you, and welcome again to Cushman & Wakefield's first quarter 2021 earnings conference call. Earlier today, we issued a press release announcing our financial results for the period. This release, along with today's presentation, can be found on our Investor Relations website at ir.cushmanwakefield.com. Please turn to the page labeled forward-looking statements. Today's presentation contains forward-looking statements based on current forecasts and estimates of future events. These statements should be considered estimates only, and actual results may differ materially. During today's call, we will refer to non-GAAP financial measures as outlined by SEC guidelines. Reconciliations of GAAP to non-GAAP financial measures and definitions of non-GAAP financial measures are found within the financial tables of our earnings release and appendix of today's presentation. Also, please note that throughout the presentation, comparison in growth rates are to comparable periods of 2020 and are in local currencies. For those of you following along with our presentation, we'll begin on Page 5. And with that, I'd like to turn the call over to our Executive Chairman and CEO, Brett White. Brett?
Brett White: Thank you, Len and thank you to everyone joining us today. Before starting with our first quarter performance, I'd like to again thank our team of Cushman & Wakefield professionals around the world for their continued determination and service to our clients throughout the pandemic. Since the beginning of COVID-19, we've been recognized as a leader in the industry, as companies continue to turn to Cushman & Wakefield for our expert advice to help them navigate these challenging times. We will continue to play that role as we help our clients through this recovery. We are pleased with our first quarter performance and are off to a very strong start to 2021. For the quarter, we reported fee revenue of $1.3 billion, down 1% to prior year, but well ahead of expectations. Adjusted EBITDA was $100 million for the quarter, 38% ahead of prior year as a result of our continued delivery of significant cost savings across the business. Revenue trends were better than expected across all segments and service lines. Brokerage revenue was down 7% for the quarter with leasing and capital markets down 5% and 10% respectively year-over-year. This is the lowest rate of year-over-year percentage decline we have seen since the trough in the second quarter of last year. PM/FM service lines continued to be a source of stability. These contractual fee-based revenue streams represent just over half of the total portfolio. Throughout the pandemic, our teams have been supporting our clients by keeping essential buildings open, reconfiguring offices and retail outlets for social distancing, and providing enhanced cleaning and facility services to ensure buildings are safe for tenants. In addition, our Global Occupier Services business continues to win new assignments and renew existing client engagements for outsourcing services in the first quarter. On balance, we expect to continue to benefit from these trends, as Cushman & Wakefield is one of the three large firms that provides comprehensive and scaled outsourcing solutions on a global basis. As we stated on our last earnings call, property recovery continues to be uneven with strong performance in some sectors, weak performance in others, and varying degrees in between. Industrial sector is one of the clearest examples of a strong performer. Continuing to benefit from the shift to online shopping, the US industrial sector absorbed more than 82 million square feet of space in the first quarter of 2021. In fact, the last few quarters were among the highest readings on record in terms of demand for industrial warehouse space. In addition to industrial, data centers, life sciences, self-storage apartments are other sectors that are benefiting from secular shifts and accelerating trends, and we expect these strong trends to continue for the remainder of 2021 and beyond. In office, near-term fundamentals remain less clear as businesses continue to assess space requirements, which, of course, is difficult to do in the middle of a pandemic. That said, we do see green shoots emerging. The first is on office using employment, which is clearly rebounding as the economy gains strength. Since the low point in April 2020, the US has added back 1.9 million office using jobs through March 2021 and most economists expect strong job growth to continue from this point forward. Now that the US economy is creating office jobs again, even assuming more people will work remotely post-COVID, it is only a matter of time before office buildings repopulate. In other words, our thesis that the office sector will fully recover from this event remains intact. The second green shoot I'll mention is that as the vaccine gets rolled out to more people, we are clearly seeing an increase in tenant tour activity of office space. Our internal tracking shows that tenant tours were up significantly in March versus the beginning of the year. Branded tour activity is still down from pre-pandemic levels, but it's definitely trending in the right direction. The increase in tour activity is a solid leading indicator for accelerated leasing activity. Also, as we noted at year-end, we saw an abnormally high percentage of short-term renewals as well as a disruption to the normal churn in leasing. These pent-up demand dynamics should translate into an increase in leasing volume activity later this year and into 2022, as there is a broader return to the office. Following near record volume for the month of December, capital markets continue to show encouraging momentum with first quarter volume of $97 billion according to RCA, which was well above the volume reported in the second and third quarter of 2020 despite Q1 being the seasonally slowest period of the year. Demand drivers remain favorable with low interest rates, attractive yield gap, that is the cap rate spread over long-term bonds, pent-up demand for real estate assets, and pent-up demand from cross-border capital. Additionally, while organizations continue to sort out the flexible work dynamic, it is evident that the need for strategic advice and problem solving has increased significantly, which bodes well both for our outsourcing and transactional businesses as companies navigate through these decisions. In short, volatility in a recovery is a very good thing for a business like ours. Last year, we hosted an Investor Day in early March just as COVID was becoming a global event. At that time, we unveiled the results of nearly six months of work that we had done to strategically realign the business to enable us to become a leaner, faster, more efficient organization. We identified a number of operating efficiency initiatives to optimize each of our businesses across our entire organization. These actions represent permanent savings that included initiatives ranging from streamlining our organization to better match our service delivery model to the optimization of business functions through automation and technology. In connection with these actions, we achieved $125 million of permanent savings last year and are on track to achieve an additional $125 million in 2021. These efforts are a key strategic advantage that will enhance our agility and speed in the marketplace, as well as improve our profitability and build significant operating leverage in the business compared with even just one year ago. As we look forward and as we enter 2022, we will have executed a significant reduction of permanent cost in a range of $250 million over the past two years, but more directly. A rising tide should lift every competitor in our business, but we firmly believe the significant actions we will have taken to optimize our operating model will disproportionately aid and accelerate our margin expansion in the coming years. Lastly, before I turn the call over to Neil, I'd like to emphasize one last point about Cushman & Wakefield that's been slightly overlooked the past year. We are on the forefront with industry-leading capabilities in terms of acquisitions and integration. We have completed 27 infill M&A deals since the merger and have a demonstrated track record of accretive M&A and broker team onboarding. We have a distinct advantage as one of the few firms that can deploy solutions on a global scale while also growing our platform as a result of the additional white space to fill across geographies and service lines. I bring this up because in our experience periods of volatility can drive opportunity for companies that are well capitalized and strategic. As you know, in 2020, we solidified an already strong liquidity position and currently have over $2 billion of available capital to augment our growth through acquisition, as opportunities avail themselves during this recovery. Despite the near-term challenges faced in the industry and what will likely be an uneven recovery, we believe there will be consolidation of share to firms like Cushman & Wakefield that have the capability, resources and scale to solve the challenges our clients face each day. I continue to be very proud of our team and our execution throughout this challenging period. Cushman & Wakefield's holistic expertise, global market intelligence and thought leadership have never been more important to our clients. Thank you, again. And with that, let me turn the call over to Neil to detail our quarter. Neil?
Neil Johnston: Thanks, Brett, and good afternoon, everyone. Overall, we were very encouraged with the strong start to 2021. Fee revenue for the first quarter of $1.3 billion was down 1%, while adjusted EBITDA of $100 million was up 38% as compared to 2020. Our adjusted EBITDA margin of 7.5% expanded by 215 basis points compared to a year ago. This margin performance demonstrates our excellent operating performance as cost reductions more than offset the impact of our lower brokerage revenues and higher year-over-year bonus expense from non-fee earners in the first quarter. Adjusted earnings per share was $0.11, up $0.08 over last year. Taking a look at our fee revenue by service line, our PM/FM and valuation and other service lines were up 2% respectively for the quarter. Within PM/FM, facility services represent just under half of the fee revenue. In facility services, we typically perform or subcontract a variety of services through our operations in both the Americas and APAC. This business generates solid cash flow on a stable revenue stream. In the first quarter, facility services was up 7% compared to the first quarter of 2020, reflecting continued demand for COVID-related cleaning services primarily in the Americas. For the quarter, Leasing and Capital markets revenue declined 5% and 10% respectively, which was better than our expectations. On balance, the momentum we saw at year-end 2020 carried into the first quarter of 2021, which is certainly encouraging. The industrial sector continues to be an area of ongoing strength in both Leasing and Capital markets across all three of our reportable segments, but particularly in the Americas. Further, we noted at year-end an abnormally high number of short-term leasing renewals. This is a trend we saw continue in the first quarter as owners pushed tenants away from month-to-month renewals and occupiers continue to assess longer-term office requirements post-COVID. In capital markets, in the non-office sectors, we continue to see a favorable environment for capital investments where we've seen the spread between price expectations and return requirements hold up well. The outlook remains less clear in the near term for office capital markets. While our first quarter results continue a positive trend, we do remain cautiously optimistic for the full year as the first quarter is the slowest quarter of the year and deal size and timing can impact results. Looking at our financial results by segment. Revenue in the Americas was up 1%, as strong growth in our PM/FM service line of 8% more than offset the decline in brokerage. EMEA and APAC were both down 5% overall, with PM/FM in both segments down 9%. In EMEA, brokerage was down 4%, while APAC saw positive growth of 2%, primarily due to leasing activity in China and Hong Kong. Adjusted EBITDA was up significantly in all segments due to our efficiency initiatives. Turning now to operating efficiency. We are pleased with our continued strong execution. We delivered $60 million of savings during the quarter, which includes both savings from operating efficiency initiatives as well as continued discipline in discretionary spending. Roughly half of these savings for the quarter represent permanent reductions, while the other half represent temporary cost savings, including reductions in travel, entertainment and events, spend on third-party suppliers, staff furloughs and part-time work schedules. As we outlined on our fourth quarter call, efficiency initiatives within our 2021 operating budget totaled $125 million. These savings will offset much of the unwind in temporary cost savings that will occur throughout the year, as the recovery advances and activity picks up. But the impact of these initiatives will not be sufficient to completely cover the return to a more normal annual bonus expense, which will be a drag of about $50 million this year. We anticipate this headwind to impact results in the second and third quarters, principally due to the slower unwind of temporary cost savings in the first quarter. While we are not providing full-year guidance at this point, I wanted to provide the following remarks to help frame directionally how we are thinking about the year, principally, as it relates to the outlook for revenue. Given the fact that a significant portion of our fee revenue is earned in the second half of the year and that the near-term business outlook environment remains uncertain, we continue to have limited line of sight to full-year revenue trends in our brokerage service lines. That being said, we do expect brokerage revenue this year to be up versus 2020 for the full year. While we believe there will be a full recovery in brokerage revenue over time, we do not expect brokerage recover to 2019 levels during any quarter in 2021. PM/FM is expected to grow in the low-to-mid-single digits for the year. Finally, turning to our balance sheet. Our financial position remains strong. We ended the first quarter with $2 billion of liquidity, consisting of cash on hand of $1 billion and availability on our revolving credit facility of $1 billion. We had no outstanding borrowings on our revolver. We continue to be active in exploring in-fill M&A opportunities to further enhance our portfolio of services globally. And given our liquidity, we are well positioned should opportunities arise. With that, I'll turn the call back to the operator for the Q&A portion of today's call. Operator?
Operator: [Operator Instructions] Our first question comes from Anthony Paolone with JPMorgan. Please proceed.
Anthony Paolone: Thank you. My first question relates to the savings, net against some of the drags. So, you mentioned $60 million of savings in the first quarter, but $50 million of net drag for the year. So, should we think about 2Q to 4Q as having $110 million of headwinds or am I looking at it wrong?
Neil Johnston: No. Tony, the way to think about it is, first of all, if you look at the $60 million in the first quarter, that was steady permanent - steady temporary, but basically, half of that occurred in the first quarter. As we look at the balance of the year, there will be a $50 million headwind related to our bonus. So over the full year, there is $125 million of permanent savings, there'll be a $125 million reversal of temporary savings. So, those two will offset each other, and then the $50 million is a headwind related to the bonus coming back in.
Anthony Paolone: Okay. Okay. I will think through that. And then as it relates to the topline, how should we think about just the sequential seasonality? Do you think that, that is fairly normal as we think about how trends are looking right now, looking right from 1Q to 2Q or any thoughts on that front?
Neil Johnston: Yeah. Sure. So, first quarter is always our smallest quarter, so we do expect sequential growth from first quarter into second quarter. It's difficult to say exactly what normal is based on prior year, but we do expect, as I say, brokerage - we have seen sequential growth in brokerage over the last five quarters.
Anthony Paolone: Okay. And then last question for Brett. As you think about coming out of COVID and looking out the next few years, what do you see as sort of the strategic priorities in terms of where you see the most opportunities? I think pre-pandemic, you had made some acquisitions on the residential side. It seems like I see your name more often these days associated with debt placement. There's co-working. What are sort of the key areas you see as your big opportunities?
Brett White: Yeah, I would say, Tony, that our priorities, our strategic objectives, are wholly unchanged from where they were pre-COVID. First and foremost, as you know, and we've spoken about for some time now, we have a benefit, which is we still have white space in our platform both geographically and by service line, areas that we can fill with in-fill acquisitions. And we believe that many of these in-fill opportunities will come to us or to the market over the next year or two years. We are tracking a number of interesting opportunities in the market at the moment. So in-fill M&A remains a key priority for us. Second priority for us remains efficiency. So, we think we're very good at using technology and creative solutions to build a more efficient organization. That should be a margin enhancement tool for us as it has been, it will continue to be so. In the, I think, the broader marketplace, there is definitely an evolution in the corporate outsourcing world, the business run by Bill Knightly for us, where property tech is playing an ever-bigger role on how people think about workplace and how people think about driving value into the workplace, we see a lot of opportunity in that. We spent a lot of time in the last two years on that topic and I think there's great opportunity there as well. Now, as we said in our prepared comments, ourselves and our two large peers, we're just really well positioned right now to accrete share, both in the corporate occupier side because of the investments we've all made in the systems and technology and people, but also on the institutional investor side where more and more of the marketplace is being controlled by fewer and fewer large institutional owners. So all of that plays really well into the core strategic principles we've laid out in the last few years.
Anthony Paolone: Okay. Thanks, Brett.
Brett White: You bet.
Operator: Our next question comes from Stephen Sheldon with William Blair. Please proceed.
Stephen Sheldon: Hey, thanks. I know you don't provide guidance, but just seems like transactional activity came in well above your expectations in the first quarter. So, curious how your level of optimism about the remainder of the year in the transactional lines right now, I guess, compares to where it would have stood a couple months ago. I guess, have you become more optimistic about what type of activity you can see over the rest of the year?
Brett White: Sure, Stephen. But let me hit it from a high level and then hand it to Neil, too. Remind that we're not going to give any guidance. But I would say from a high level, you're right. So, what has changed over the last three months is that the pace of the recovery has certainly accelerated from what we were expecting near the end of last year, and that's wholly and entirely related, we believe, to the mass rollout of vaccine. So, our thinking around 2021 is that, while there is still a lot of uncertainty across the marketplace globally and there is uncertainty across some of the product types as well, there is more certainty that recovery is on its way and in some sense already here. But as you know and as Neil has mentioned in his comments, he mentioned a moment ago, there are headwinds and there are tailwinds in 2021. Those all come into play. And I would say that while, yes, we are certainly more optimistic about 2021 than we were three months ago, there's still a lot of uncertainty in the marketplace. Neil, anything you want to add to that?
Neil Johnston: I think it was very comprehensive, Brett. Yeah, nothing to add.
Stephen Sheldon: Great. And then just on capital markets, I guess, would be curious to know what you're seeing in terms of the pipeline there across the different regions and what's your sense of how bid-ask spread maybe trended during the first quarter, if you have visibility on that for property sales?
Brett White: Sure. Well, it's very clear, which you know and certainly the rest of callers know by watching the RCA data and hearing anecdotal data from the other regions that capital markets was the first of the major business lines to come back. Fourth quarter of last year, as we all know, was surprisingly strong and Q1 this year was certainly better than we had projected, and I think the market had projected. So, capital markets is doing, relatively speaking, well. And I think part of this, Stephen, is that institutional investors are - and there is exceptions to this of course. But institutional investors are beginning to look through COVID. And I think there is a growing consensus that as nasty as that short recession was and as tough as the pandemic was and the questions that's created around how people will use space, I think there is a much stronger growing consensus that this was a point-in-time event and that the markets will cure from this in a relatively short period of time. I don't think there's a lot of [indiscernible] out there today and by the way, there was six months ago, as to what the future of office will hold. I think at this point and you've heard this from our peers who have already reported, we all feel that all of the office using jobs shed in the first half of 2020 will be regained by the end of this year. We generally all feel that vacancy in rents will have been fully recovered by mid-2022, if not a bit sooner. All of that then says to an investor, if you're looking at a high-quality asset, in a high-quality location, there's not a lot of turnover in the rent roll over the next 18 months and the yields are where they are, assets look pretty attractive. So, we feel good about the capital markets. Look, it's not going to be back to where it was in a quarter, but we like the trend.
Stephen Sheldon: Great. Appreciate the color. Thanks for taking my questions.
Brett White: You bet.
Operator: Our next question comes from Vikram Malhotra with Morgan Stanley. Please proceed with your question.
Vikram Malhotra: Thanks for taking the question. Maybe just first one. You mentioned the M&A that you've done over the last few years. I'm just wondering through the pandemic and as we emerge, where would you say Cushman's had sort of the greatest market share gain, maybe region or segments? And I ask that also because you talked about white space and you've been trying to fill that over the last few years. So, I'm just wondering as you emerge out, where would you say you've gained share?
Brett White: Okay. So let me answer the question absent the M&A component of your question. Let me just answer the question in terms of where we think we're gaining share or have gained share the last few years. I would say, first, in the global capital market space. This Company four years ago was a player in capital markets, but by no means a leader in the major markets; today, we are. And so capital markets' market share has certainly grown quite a bit over the last few years. We also, four years or five years ago, were relatively new to the party on large complex global corporate outsourcing. We're not new to the party anymore. And to a great extent, any large multinational corporate outsourcing bid that comes to market, we're at the table and we are gaining share there as well. We also, though, as you know, we have a very large, very strong global brokerage transaction business. And the structural trends in the industry, the structural trends in the marketplace, they have been extinct for a number of years or even as true today as they were before, which is share - as an investor or as an analyst, I think we can all agree that share across the business lines is going to accrete to those few firms that have a truly global platform, a full suite of services deliverable, whatever a multinational client may need it and with a track record of quality outcomes for their clients. And that really narrows the field down to three firms, of which we are one. And I think that the share gains that you've seen in the past few years across our two large peers and ourselves are certainly indicative of what we would expect to see for a very long time. It's just very difficult in the marketplace today to be a half-built firm and compete against these three powerhouses.
Vikram Malhotra: Fair enough. On the topic of the PM/FM, as you kind of alluded to now that you're competing with two of your peers, I'm curious to get your sense on - we talk a lot about PM/FM as it pertains to large office corporate users. I'm wondering on the industrial side, if you see more automation in warehouses and obviously the growth in the industrial space, what's the opportunity to grow in that segment in PM/FM?
Brett White: It's a great question and it's an answer I would love to give you, which is simply this. Historically, we have had a higher percentage of our PM work and our FM work in industrials than most firms. And that is - it wasn't deliberate, it's a result of the legacy of the companies we've put together and one in particular, Cassidy Turley, was and we are now very strong in the industrial space for PM/FM here in the US. Industrials have been - so they've been a sweet spot for us for some time. Now, that having been said, the trend toward the growth of industrial space over the last four years is not a trend that was ignored by any of the major firms in the business. So, we have been like others heavily focused on growing out our industrials business. But what is interesting to me and what was different here at Cushman & Wakefield for me was the strength that the Company has had and does currently have in manufacturing, in industrial and in logistics. So, that's an area that, of course, everyone on the phone knows, is growing very rapidly right now. The good news for us is we've had a strong foothold in that vertical for some time and intend to continue to expand it. And we are - I should say, just finally, we are investing materially in our industrial logistics businesses across the globe. It's one of our three vertical priorities that our three major regions are pursuing together.
Vikram Malhotra: That makes sense. And then just last one. You talked a little bit about six months ago, there was debate around return to work and kind of just the office prospects. Fundamentally, as you say, office is likely to recover by mid '22 in terms of rents, but I'm curious to get your thoughts on two topics. One is just the use of the office as it may change and maybe updated thoughts on what you're hearing from some of your large tenants. And then second, related to that, the flex office topic, as some of your peers have certainly been a lot more active or taking - actually integrating in some of those businesses, what's your view on Cushman's desire or ability to do that?
Brett White: Right. So let me take those in order. So it's very clear, I think, certainly to you and to your folks on the call and to us that the house view on the future of office has materially changed for the more positive in the past three months, past four months. Anecdotally, I was with a CEO of a very, very large global office occupier last week, and this individual asked us to begin cataloging Class A space that has been shed into the sublease market by other occupiers in the past 12 months because their house view, this is a very large occupier, is that the work-from-home model will be in the rearview mirror to a great extent fairly soon, and they would like to start acquiring high-quality Class A space in major markets and warehouse in that space because it's so inexpensive in the sublease market. You never would have heard that six months ago. And so as we sit here today, I would tell you that the majority view among major corporate occupiers right now is that work-from-home doesn't really work well. There is certainly a component of their workforce, there is a component of our workforce, and a higher percentage of the workforce that would be allowed to work remotely permanently, maybe start from 5% pre-pandemic to 10% or 12% post-pandemic. And there is a higher percentage of office workers who I think would be given permission to work remotely occasionally. But I have to say that the talk in the market from corporate users has really moved the last four months to six months from work-from-home is working really well now to work-from-home really doesn't work very well. We're going to be more agile on how we allow people to have choice around where they work and how many days they are in the office versus being somewhere else. But I think it's very clear to us now that office space is here to stay, office buildings are here to stay. We are not going to see ghost towns of Class A high rises in Midtown Manhattan or other major cities. And so in terms of then getting to the second part of your question on to flex space. So we've seen in the last three months, two of our peers make investments into flex companies. And I think those are smart investments. With the flex space, co-working has been redefined through COVID. The model of long-dated leases and Class A buildings and sublet to small tenants, that model, I think, is very troubled, but I think that the market has opined on that, and the model has changed. And so what we see now are a smaller number of high-quality flex providers that are really focused more on the client experience inside buildings, maybe through property tech or through other things they do. And also, and more importantly to us, helping institutional owners redefine the way a building is viewed by a tenant, not just the co-work space but the entire client experience. And corporate occupiers, I think now are beginning to - and this started some years ago, but it's accelerated a bit. Corporate occupiers are beginning to look at variable lease term space as a component, a small one, but a component of their footprint. So, I think what we're going to see going forward is that when you look at large corporate occupiers, there will be a percentage of their footprint that will always be in flex space, and flex space that's just really shorter-term leased term space. So, we admire what some of our peers did, I think they were smart moves. We also are very focused on how we provide variable lease opportunity to our clients and that is something that we've done for some time now and it's something we're very focused on right now. So, you should expect us to be very active in that area and bring to our clients flexible solutions on how they look at their footprints including flex office.
Vikram Malhotra: Great. Thanks so much for all the color.
Operator: Our next question comes from Doug Harter with Credit Suisse. Please proceed with your question.
Douglas Harter: Thanks. Can you talk about the environment for recruiting fee earners now that the transaction volume in capital markets has started to recover?
Brett White: Sure. So for the past 12 months, which is typical in a recession, the market for fee earners certainly cooled off and that's what happens in every recession. It tends to cool off for two reasons. One is fee earners in a recession are much more reluctant to change firms. It's just another risk factor in an already very risky environment when we're in recession. And as you emerge out of recession, that market should and is right now beginning to heat up a little. I would say it's still - the movement of fee earners is still depressed from what we saw perhaps three years ago or 2.5 years ago. But in the marketplace, like in a fully functioning normal operating environment in the brokerage business, there is always a material amount of movement among firms. The more robust the marketplace is, typically the more movement you see because firms are willing to pay a bit more for that talent. Right now, as we get into a, what looks to be over the next two, three years a fairly robust recovery, I would expect to see an active market for fee earner recruiting. For Cushman & Wakefield, we're not really in the business of just blanket recruiting. For us, our recruiting is very, very specific to either verticals that we want to build out, so product type brokers that we think fit into a strategic option that we have and to white space where we feel that our share in brokerage is not where it should be. So for us, it's great that there is some movement in the marketplace and we can see opportunities to hire people, but we really - we're really not in the business of just blanket recruiting brokers. It's a very specific targeted activity to fill a very specific need. And I would expect that in 2021 and 2022 that market will be relatively active.
Douglas Harter: Great. Thank you.
Operator: Our next question comes from Michael Funk with Bank of America. Please proceed.
Michael Funk: Yeah. Hi, good evening. Thank you for the questions. A couple if I could. So, your earlier comments about M&A and the track record and then the $2 billion in capital to potentially deploy there, would love to get your thoughts on what the right target mix is by service line going forward, if there are areas that you want to be bought, and then even by capabilities, the traditional capabilities, maybe that Cushman doesn't have today, but you believe could be useful to meet the market in the next couple of years.
Brett White: Sure. Well, let me answer the question this way because the areas we are currently focused on for M&A that would be very competitive information, which I am not going to disclose. But I will tell you this, there are five verticals right now that we are very focused on or five fulcrums, we are very focused on to lean into over the next few years. And we are actively looking in the marketplace for in-fill opportunities in those five verticals. And I would say that what's different today from say three years ago is we've completed the work we wanted to do in a number of verticals and we've identified some additional verticals to now do work in, either that weren't as high of a priority three years ago or are relatively new to a party, opportunities we see in the marketplace today and going forward that weren't as attractive two years or three years ago. So, our capital deployment strategy and our M&A strategy is very, very focused, very, very targeted. Each year, we take a look at the portfolio of businesses we have, we take a look at growth statistics across all of the good groups and verticals, we make very deliberate decisions about where we're going to try to deploy capital. And as you know, that deployment of capital can be either in teams of fee earners who work in marketplace, so, for instance, I don't think it's any secret that industrial logistics is, and we mentioned this earlier, a very high-growth vertical and so we're very focused in that area. Looking at teams of fee earners, that might be very good in that. We can also do a few in-fill M&A and we can also do a few joint venture. And all of those opportunities are available to us and we're very focused on, as I mentioned, five discrete areas right now that we believe provide outsized opportunity for the firm.
Michael Funk: Understood. Thank you. And then going back to the temporary cost unwind, I think you called out 125 of temporary cost reversal for 2021. Can you help us think about the timing of that, the sequencing throughout the year? I mean I assume it's more back-end loaded, certainly with T&E portion. But can you help us think about the sequencing of that 125?
Neil Johnston: Sure. I think the easiest way to think about it, Michael, is really just to think about - it will be fairly even. We did see a delay in temporary cost coming back, so it will depend to a certain extent on how quickly we see brokerage recover. So, I would say the majority of that will be in the second and the third quarter. And then in terms of the bonus, that will also - the $50 million headwind, that will be in the second quarter and third quarter as well. So, I would say, over the year, the $125 million, the two $125 million balance each other with the bulk of it happening in that middle half.
Michael Funk: Understood. And then one more if I could, please. You mentioned the pace of the recovery accelerated much faster than maybe you expected even a few months ago. Are there any specific areas to call out there, particularly surprising with the pace of the recovery so far, property lines or service lines?
Brett White: Yeah. And I want to be as clear as possible on this point. So, what has changed in the last three months from our perspective is our outlook on the pace of the recovery going forward. So, what we saw in the first quarter is really a stabilization of the markets and some incremental improvement across almost all of our service lines. That was great. It was better than what we expected but I would not describe that as a wild recovery. I'd call it a stabilization of marketplace and incremental improvement in revenues. Because we did such a great job on efficiency last year, that incremental improvement basically flattened and revenues went straight to the bottom line and you saw that across the industry in the first quarter. What is different for us is, as we think about the year and we thought about how 2021 would play out, we were hopeful that Q3 and Q4 would show some recovery. I think we feel more optimistic now that that will indeed be the case. Your specific question - because when you look across the portfolio of our businesses, you don't see wild increases across any of the businesses, what you see is improvement across almost all of them. And so to specifically answer your question, almost all of our businesses, almost with the exception of project management showed real improvement in the first quarter than from what we expected. Yeah, one more point I'll make and that might be helpful. In the leasing business, still down over prior year, but what we did see for green shoots was more property tours. We're seeing a lot more interest by corporate occupiers in looking at space. It's not back to what it was, it's not back to normal, but there is no doubt that property tours are well up from the peaks they were at the end of last year and in the third quarter and that, of course, is a leading indicator for future recovery in leasing.
Michael Funk: Great. Thank you very much for the questions.
Operator: Thank you. We have come to the end of our question-and-answer session today. I would like to turn the call back over to Mr. Brett White for closing comments.
Brett White: Terrific. Well, thanks, everyone, for dialing in. We're really happy with Q1, excited about the year and look forward to talking to you in three months.
Operator: The conference does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation and have a great day.